Operator: Good morning and welcome to the Occidental Petroleum Corporation Third Quarter 2015 Earnings Conference Call. Please note this event is being recorded. I would now like to turn the conference over to Chris Degner. Please go ahead.
Christopher M. Degner - Senior Director, Investor Relations: Thank you, Emily. Good morning everyone, and thank you for participating in Occidental Petroleum's third quarter 2015 conference call. On the call with us today are Steve Chazen, Oxy's President and Chief Executive Officer; Vicki Hollub, Senior Executive Vice President of Occidental and President, Oxy Oil and Gas; Sandy Lowe, Executive Vice President and President of Oxy Oil and Gas International; and Chris Stavros, Chief Financial Officer. In just a moment I will turn the call over to Vicki Hollub. As a reminder, today's conference call contains certain projections and other forward-looking statements within the meaning of the federal securities laws. These statements are subject to risks and uncertainties that may cause actual results to differ materially from those expressed or implied in these statements. Additional information on factors that could cause results to differ is available on the company's most recent Form 10-K. Our third quarter 2015 earnings press release, the investor relations supplemental schedules, our non-GAAP to GAAP reconciliations and the conference call presentation slides can be downloaded off our website at www.oxy.com. I'll now turn the call over to Vicki Hollub. Vicki, please go ahead.
Vicki A. Hollub - Senior Executive Vice President and President, Oxy Oil and Gas: Thank you, Chris. Good morning everyone. Despite the current environmental of low and volatile product prices, our Oil and Gas segment has been operating well in all of our core assets. Our third quarter average daily production increased to 689,000 BOE per day from last year's 595,000 BOE per day, an increase of 16%. Our core assets continue to drive production growth with an increase of 39,000 BOE per day from Permian Resources and 50,000 BOE per day from Al Hosn, which reached full capacity in September. We expect Al Hosn to produce 60,000 BOE per day in the fourth quarter. Our capital and operating costs have continued to decline as we've focused our development program and curtailed activity where current product prices do not support further investment. We continue to make progress to optimize our portfolio as a part of the company's strategic review to focus on our core assets in the Permian Basin and the Middle East. We're selling our assets in the Williston Basin and continue to evaluate our positions in non-core assets in the Middle East with the objective of minimizing our activity and exposure. Construction of the ethylene cracker has progressed well and is on schedule to start up in early 2017. Our principal goal this year is to adjust our business to the current environment of low commodity prices. We're targeting our operating cash flow to cover our dividend and capital investment at realized oil prices of $60 per barrel while continuing to grow our production. We'll achieve this goal through deploying our capital and operating cost savings and to further production and cash flow growth driven mostly by our Permian Resources business unit and the start-up of Al Hosn. While we don't believe current price levels are sustainable over the long term, we've taken aggressive actions to manage the business for a downturn that may last longer than market participants expect. During the boom period from 2010 to 2014, the industry experienced substantial cost inflation. Royalties and government takes on new projects increased. Service prices, labor costs and overhead all increased as well. There's ample room for us to continue to lower our cost, which will enable us to return the business to profitability at lower prices. These adjustments may be difficult in the short term, but our discipline on reducing costs will lead to a healthier business over the long term. Through our separation of California Resources in 2014, we reduced our annual G&A budget from $1.8 billion to $1.5 billion as we moved the corporate headquarters to Houston. Over the course of this year and into 2016, we expect to see continued reductions in our corporate overhead with a more focused company and will reduce our total G&A spending to about $1.2 billion in 2016. Two years ago we began working on strategic initiatives to focus our company and improve its profitability. We've continued to make progress on those initiatives. We reached an agreement to divest our Williston Basin assets and expect the transaction to close in the fourth quarter. Due to our curtailed spending in the basin and the nature of unconventional assets, our production declined about 25% quarter over quarter when annualized. We expected the production to continue to decline given our limited capital investments in the basin. Over the past several years, our efforts at appraising and delineating our acreage in the Permian have provided a large inventory of future development locations that are economic at oil prices under $60 a barrel. With ample takeaway capacity and an extensive midstream business of gathering lines, storage and gas processing, our economies of scale and deep inventory in the Permian Basin make it our top priority for capital allocation for the foreseeable future. Simply put, acreage in North Dakota, whether it's tier one, tier two or tier three cannot compete with our position in the Permian. We continue to pursue strategies to minimize our activities and exposure in our non-core operations in the Middle East and North Africa, which include Bahrain, Iraq, Libya and Yemen. As a result of these actions, we took impairment charges in the third quarter for our positions in Iraq and Libya. We will comply with our contract terms as we reduced our exposure through negotiations with our partners and host governments and expect capital investments to decline in 2016. These actions will improve the profitability and cash flow of our Middle East business as we focus on our core assets in Abu Dhabi, Qatar and Oman. Our capital spending in the third quarter declined by about $300 million and will continue to decline. As we capture price savings from suppliers and improve the efficiency of our operations, we're able to do more with less spending. We expect to exit this year at a quarterly spending rate of $1.1 billion to $1.2 billion. If product prices remain at current levels, our 2016 capital program will be less than the current rate. We're in the midst of our annual budgeting process and we'll provide more detailed guidance on our 2016 program in January. Over the last few years, we've undertaken multiple long-term investments to drive cash flow and earnings growth. These projects include the Al Hosn gas project, the ethylene cracker joint venture, our export facilities in Ingleside and gas processing infrastructure in the Permian Basin. Capital spending on these investments declined by about $500 million in 2015. We expect these investments to decline by about $300 million in 2016 and $400 million in 2017 as the projects are completed. This decline in capital spending on committed projects gives us a lot of flexibility in setting our capital budget for 2016. Our Permian business continues to execute a focused development program on low cost wells with high oil content. Permian Resources continues to drive down capital cost through improved execution in drilling and well completions. Our production exceeded expectations due to reduced time to market and better than planned well performance. In the third quarter, Permian Resources achieved daily production of 116,000 BOE per day, a 6% increase from the second quarter and a 51% increase versus the prior year. Oil production increased to 74,000 barrels per day, a 4% increase from the previous quarter and a 72% increase from a year ago. In the fourth quarter we'll drill and complete about 50 horizontal wells. We're currently operating 12 rigs in the basin and evaluating our needs for our 2016 program. In the Delaware Basin, our Wolfcamp A 4,500 foot well costs decreased by about 45% from the 2014 cost of $10.9 million to a current cost of $6.3 million. We reduced our drilling time by 24 days from the 2014 average of 43 days to 19 days. We've lowered our completion cost per well and optimized the density of our clusters and proppant loads. We've used some of our cost savings to up-size our frac treatments to drive higher productivity. Our well performance continues to be strong. We placed 21 wells, horizontal wells, on production in the Wolfcamp A benches in the third quarter. The Leigh State 40-11H well achieved a peak rate of 1,790 BOE per day and a 30 day rate of 1,528 BOE per day. Additionally, our Betty Lou 1013H well achieved a peak rate of 1,711 BOE per day and a 30 day rate of 1,310 BOE per day. We drilled the Betty Lou horizontal well in only 15 days. Most of these wells produce around 80% oil. In the Midland Basin, we've made similar improvements in well cost and drilling days in our Wolfcamp A wells. We reduced the cost of these 7,500 foot horizontal wells by 30% from the 2014 cost of $9.2 million to a current cost of $6.6 million. We reduced our drilling days by more than 60% from 46 days in 2014 to 18 in the third quarter. In Big Spring, which is our new area of the Midland Basin, we brought the Young A 2124 well online in the third quarter at a peak rate of 1,611 BOE per day and 30 day rate at 1,237 BOE per day. We also brought online the Adams 4201 well at a peak rate of 1,698 BOE per day and 30 day rate of 1,495 BOE per day. Both wells are producing at about 90% oil. These Wolfcamp A well results have been outperforming our initial type curves for this emerging play in Howard County. We're continuing to lower our cost structure. Since the fourth quarter of 2014, we've reduced our operating cost per barrel by 18% and expect to make further progress in lowering our costs through the end of this year and into 2016. In our Permian EOR business, we continue to lower our drilling cost and manage the operations to run our gas processing facilities at full capacity. With a resilient base production and low capital requirements, the Permian EOR business continues to generate free cash flow at low product prices. In the third quarter we started Phase 1 of the CO2 injection at South Hobbs, where we expect to develop low cost oil production at about $10.60 per BOE. In closing, we delivered strong production growth from our core assets in the third quarter. We continued to execute on our strategic initiatives to focus our oil and gas business around our core assets in the Permian Basin and the Middle East. We'll continue to execute a focused development strategy in 2015, and we'll pursue additional step changes in well productivity and cost structure. Strong production growth from our Permian Resources business along with a high volume, a low capital intensive Permian EOR business keeps us well positioned to not only meet the challenges of this lower price environment but also to profitably grow our combined Permian businesses. Now I'll turn the call over to Chris Stavros.
Christopher G. Stavros - Chief Financial Officer & Senior Vice President: Thanks, Vicki, and good morning everyone. Today I'll cover our third quarter results, discuss the actions we have taken that led to the non-core charges we took in the quarter, and close by providing some guidance on the remainder of the year while highlighting key initiatives that will improve the company's financial strength going forward. We generated core income of $24 million for the third quarter of 2015, resulting in diluted earnings per share of $0.03, a decrease from $0.21 a share in the second quarter of 2015 and compares to earnings of $1.34 per share in the third quarter of last year. Our net GAAP reported results for the third quarter were a loss of $2.6 billion or $3.42 per diluted share. Our third quarter reported results includes non-cash after-tax net charges of approximately $2.6 billion. Our quarterly core results were negatively impacted by lower worldwide oil and NGL prices, which fell by nearly $7 and $3.50 a barrel respectively in the third quarter of 2015 compared to the second quarter of this year. US natural gas prices improved slightly, up about $0.15 per Mcf from the second quarter. Our third quarter capital spending was about $1.2 billion, down 18% from the $1.5 billion in the second quarter and down 30% from first quarter levels. We continued to ramp down our capital program, focusing our development activity primarily in core areas of the Permian Basin, with the intent of curtailing or eliminating spending which is less competitive and imprudent in the current product price environment. Our heightened focus around capital spending is centered on growing our oil production volumes and more importantly our operating cash flow. Despite the reduction in this year's capital program, efficiency gains and our increased focus around our inventory of drilling opportunities continues to drive growth in oil volumes and cash flow at our Permian Resources operations. Permian Resources grew its oil production 72% in the third quarter, adding 31,000 barrels per day compared to the year-ago period with total production of 116,000 BOE per day, representing growth of 51%. Production from Permian Resources improved by 7,000 BOE per day sequentially, above our previous guidance. As I mentioned earlier, we took after-tax impairment and other non-cash charges of approximately $2.6 billion in the third quarter. Oxy follows the successful efforts method of accounting where we review our proved oil and gas properties for indications of impairment whenever events or circumstances indicate that the carrying value of the oil and gas properties may not be adequately recovered, such as when there's a significant drop in the futures price curve. As of September 30, the futures curve for product prices had declined sharply yet again and we recorded an after-tax impairment of $1.3 billion related to our domestic gas properties and our oil and gas assets in Libya. As Vicki mentioned, we continued to make progress in our efforts to optimize our portfolio. In the third quarter of 2015, we entered into an agreement to sell our Williston operations, which have been classified as held for sale and resulted in an after-tax impairment charge of approximately $500 million. The sale is expected to close later this quarter, and we expect to receive net proceeds equivalent to approximately eight times free cash flow after acquired capital for facilities and safety. Additionally, and as part of our effort to focus our capital on opportunities that generate higher financial returns, we intend to minimize our capital allocated to non-core areas. As a result, we recorded an after-tax non-cash charge of $760 million for operations in Iraq. We expect to continue oil liftings out of the country in the fourth quarter. Our exit from these non-core areas will create a more focused domestic oil and gas organization and mitigate our exposure to areas we deem as having higher political risk. In addition, we expect our capital spending levels to decline and our financial returns to improve as we generate savings from associated overhead reductions that have yet to be captured. As slide 21 shows, for the first nine months of 2015, our operations in combined Williston, Iraq and Libya had total production of 45,000 BOE per day and generated an aggregate cash flow after capital deficit of approximately $260 million with Brent oil prices of about $56 a barrel. For the full year of 2014, when Brent prices averaged about $100 a barrel, these assets had an even greater cash flow after capital deficit of $340 million. Some of this free cash flow savings could be redirected to our higher return core operations in the Permian Basin. Turning to specific business segments. Oil and Gas after tax earnings for the third quarter 2015 were $17 million, about $90 million lower than the second quarter of 2015 and $880 million lower than last year's third quarter. Almost all of the impact of the change in year-over-year earnings is due to lower product prices. For the third quarter, total company oil and gas production volumes averaged 689,000 BOE per day, an increase of 31,000 BOE in daily production from the second quarter and 94,000 BOE per day from last year's third quarter. Total company oil volumes were 436,000 barrels per day in the third quarter, 54,000 barrels per day higher than the year-ago period for an increase of 14%. Total domestic oil and gas production averaged 332,000 BOE per day during the third quarter of 2015, about flat sequentially and 17,000 BOE higher on a year-over-year basis with all of the increase coming from Permian Resources. The increase from Permian Resources was partially offset by lower production from our Midcontinent natural gas assets where we have ceased drilling activity. Domestic oil production was 204,000 barrels per day during the third quarter of 2015, about flat with the second quarter and up 22,000 barrels per day or 12% from the year-ago period. We captured approximately 4,000 BOE per day of incremental NGLs and natural gas volumes in the third quarter due to the installation of compressors and gathering lines in the Delaware Basin. International oil and gas production volumes averaged 357,000 BOE per day during the third quarter, up 32,000 BOE per day sequentially, and 77,000 BOE per day on a year-over-year basis. Production from Al Hosn was 50,000 BOE per day in the third quarter, an increase of 32,000 BOE per day from the second quarter, and about 15,000 BOE per day above our guidance for the period. Al Hosn is currently running at full capacity, which is approximately 60,000 BOE per day. Our third quarter oil and gas cash operating costs of $11.15 per BOE declined 8% from the second quarter level of $12.10 per BOE due to higher production volumes, lower surface and downhole maintenance costs and lower energy costs. DD&A for the third quarter was $15.39 per BOE compared to $16.06 per BOE during the second quarter. Taxes other than on income which are directly related to product prices were $1.20 per BOE for the third quarter compared to $1.85 for the second quarter and $2.45 per BOE for the full year of 2014. Chemicals generated pre-tax core earnings of $174 million in the third quarter of 2015 versus $136 million in the second quarter and $140 million during the year ago period. The most recent quarter results were above our previous guidance and benefited from higher chlorovinyl production volumes, lower ethylene costs partially offset by lower vinyl sales prices. Midstream pre-tax core earnings were $31 million in the third quarter compared to $84 million in the second quarter of 2015 and $115 million for last year's third quarter. The most recent quarter results reflected lower marketing margins due to the narrowing of Midland and Gulf Coast differentials, and an increase in crude oil supply lowered premiums in the Gulf Coast. The lower marketing margins were partially offset by higher pipeline income from both domestic and foreign pipelines, and higher seasonal margins from power generation operations. Turning to our cash flow. Operating cash flow for the third quarter of 2015 was approximately $1 billion which was about $200 million higher than the second quarter. Higher oil and gas production volumes combined with better realized oil prices relative to benchmark prices positively impacted our operating cash flows during the third quarter. Working capital changes were minor during the third quarter as our drilling activity and capital spending stabilized from higher levels at the end of last year. We continued to ramp down our capital spending, with total company expenditures for the third quarter of 2015 of $1.2 billion, a sequential decline of $300 million from the second quarter. Total company capital expenditures for the first nine months of 2015 were $4.4 billion, which is running a little lower than our full year 2015 capital budget of $5.8 billion. Oil and Gas spent $3.6 billion during the first nine months of 2015 with Permian Resources expenditures comprising roughly half of the total Oil and Gas outlays, and the remaining $800 million of capital split nearly evenly between Chemicals and Midstream. We paid cash dividends of $1.7 billion during the first nine months of 2015. Continued growth in our operating cash flow combined with capital reductions and other cash cost savings should allow us to achieve our goal of being cash flow neutral after capital spending and dividends at oil prices of roughly $60 a barrel. Our cash balance at the end of third quarter was $4.3 billion and our long-term debt to capitalization ratio was 19% the end of the period. The worldwide effective tax rate on our core income was 90% for the third quarter of 2015. Beyond the efficiency improvements that have lowered our capital spending, we have also started to recognize the benefit of a reduction in our SG&A costs. Reducing our SG&A is an initiative we began working on ahead of the spinoff of our California assets and operations. Prior to the spin, our SG&A was at approximately $1.8 billion per year. Upon completion of the spinoff late last year, we had reduced our SG&A costs by about $300 million or roughly 17%. While our work force has come together and made a huge effort to reduce costs, we are still in the early stages of recognizing these benefits. During 2015 we expect to reduce our SG&A by another 10%, or roughly $150 million. We have taken a number of actions and will continue to pursue other initiatives that will serve to reduce our SG&A costs both this year and next, and is highlighted on Slide 30. We expect these initiatives to reduce our SG&A by at least another 10% and expect our total SG&A costs to decline to roughly $1.2 billion in 2016. This represents a one-third reduction in our total SG&A costs compared to levels before the California spin. Looking ahead to the fourth quarter, domestically we expect production from Permian Resources to be about 118,000 BOE per day. Production has been a bit lumpier as we have increasingly moved to pad drilling and we expect total Permian Resources production to exit the year in excess of 120,000 BOE per day. Continued growth in the Permian combined with declines in our Midcontinent natural gas production and adjusting for the sale of the Williston assets should result in total US production between 310,000 BOE per day and 320,000 BOE per day. We expect our international production to be between 365,000 BOE per day and 375,000 BOE per day, depending on volumes from Iraq, and assume 60,000 BOE per day of production from Al Hosn. Price changes at current global prices affect our quarterly earnings before income taxes by $30 million per $1 per barrel change in oil prices, and $7 million for a $1 per barrel change in NGL prices. A swing of $0.50 per million BTUs in domestic gas prices affects quarterly pre-tax earnings by about $15 million. Our fourth quarter 2015 exploration expense is anticipated to be about $20 million pre-tax. We expect our fourth quarter 2015 pre-tax Chemical earnings to be about $130 million. Our third quarter Midstream earnings will continue to be principally impacted by Midland to Gulf Coast oil price differentials which have narrowed since the third quarter, as well as weak NGL prices. We expect net cash proceeds from asset sales in the fourth quarter, which includes our assets in the Williston Basin, to be approximately $650 million. The worldwide effective tax rate on our core income was 90% for the third quarter of 2015. This rate reflects the mix of domestic source book losses and foreign-sourced income which is taxed at much higher relative rates. Simply put, you cannot utilize US tax losses to offset higher foreign taxes. Based on continued volatility in the mix of pre-tax income sources, we expect our full year 2015 domestic tax rate to be 36% and our international tax rates to remain at about 65%. To summarize, as we wind down the year, we remain financially strong and well positioned to weather the current low product price environment with $4.3 billion of cash on hand, roughly equal to our annualized capital outlays. We continue to grow our production volumes cost efficiently, and despite the decline in capital spending. We will continue our disciplined approach towards cost control, improving our capital efficiency, focusing and allocating our capital on only the highest return opportunities. Our capital spending run rate has been cut by more than half compared to year-ago levels and we expect to save at least $300 million as a result of initiatives to lower SG&A costs. I'll now hand the call back over to Chris Degner.
Christopher M. Degner - Senior Director, Investor Relations: Thank you, Chris. And Emily, could you please open up the line for questions?
Operator: Thank you. Our first question is from Evan Calio of Morgan Stanley please go ahead.
Evan Calio - Morgan Stanley & Co. LLC: Hey, good morning guys. Your Permian Resources production again beat guidance. You're making progress on costs, efficiencies and you highlighted it as your top priority in your slides, but it's also one of the pieces your of portfolio where you can dial activity up and down. Can you talk about how you balance those factors when you're considering your 2016 Permian activity levels in the current environment?
Vicki A. Hollub - Senior Executive Vice President and President, Oxy Oil and Gas: Yes, Evan. As Chris said that our committed capital is coming down but we still do have some committed capital in 2016. So what we'll do is balance our Permian Resources business with the capital requirements elsewhere. As you know, we're trying to reduce our capital requirements in the Middle East and the reason for that is we would prefer to divert – to move capital to Permian Resources. But we do have the ability to swing it up and down. We're working on several scenarios that we could be ready to implement depending on what market prices are in 2016.
Evan Calio - Morgan Stanley & Co. LLC: Let me follow up there. I mean, when you mention the potential in MENA (27:29) non-core asset sales, does that imply that the larger interest sell down remains back burnered? And on your G&A guidance, does that – that these announced assets are sold as well?
Vicki A. Hollub - Senior Executive Vice President and President, Oxy Oil and Gas: You're talking about the Middle East?
Evan Calio - Morgan Stanley & Co. LLC: Yeah, in the MENA. Sorry.
Vicki A. Hollub - Senior Executive Vice President and President, Oxy Oil and Gas: Currently we're looking at certainly exiting some of the non-core properties in the Middle East and ramping down activities in some of those areas that we're not going to exit. So that will certainly impact some of our SG&A cost. We expect those to go down as well as some of our operating cost. So that will be a benefit to us. And getting back to the resources question that you had previously, we do expect to, in all of the scenarios that we're looking at, to continue to grow production from our Permian Resources business.
Evan Calio - Morgan Stanley & Co. LLC: Right.
Stephen I. Chazen - President, Chief Executive Officer & Director: Now on the G&A question, this is Steve. The answer to your question is no. We really haven't baked in the Middle East situation with the decline. So basically what we see now is – this is what we've said for next year's run rate are costs. We expect to continue to work on this as the portfolio changes.
Evan Calio - Morgan Stanley & Co. LLC: Right. And the non-core – but by focusing on the non-core sales in MENA, I guess I'm saying does that also imply that the larger interest sell-down in that piece of the portfolio remains back burnered given the current environment. Is that fair?
Stephen I. Chazen - President, Chief Executive Officer & Director: Well, the countries have gone from being flush with cash to being cash users just to fund their own situation. So it's not likely that they're in the mood to – basically they're selling things. They're not buying things right now.
Evan Calio - Morgan Stanley & Co. LLC: Right. And maybe if I could ask one more question, Steve. Can you discuss what drove the Bakken asset sales given your ample liquidity position? I mean, is there a general comment there on your view of prices in the asset market that you see better opportunities to sell versus buy where you've highlighted that you'd potentially be a buyer in the Permian?
Stephen I. Chazen - President, Chief Executive Officer & Director: Yeah, we sold the Bakken assets for about $600 million as opposed to the reported number, which I don't know where that came from. Anyway, we sold for about $600 million. We just can't see a situation where we would invest in it given what we have in the Permian. And so I mean, it's really a statement that says okay, we just don't see how it competes for capital inside the company in any reasonable price scenario that we can come up with. Generally it's always generated negative cash flow or at best neutral. It's declining about 1,000 barrels a day a quarter. So a year from now, it would be 13,000 or so a day just doing the arithmetic. So we don't see how the value increases over time. For us, this $600 million, we could run four rigs in the Permian basin for a year with this money or five, somewhere in that range and generate more production than we would get out of the Bakken with the $600 million. So pretty easy decision. Say well, you could hold on until it goes up in price. By the time it goes up in price you might be making 8,000 barrels a day. So I just don't know when it's going to go up. We believe we received a fair price given the prospects for it under our management.
Evan Calio - Morgan Stanley & Co. LLC: Great. I'll leave it for somebody else. Thanks.
Stephen I. Chazen - President, Chief Executive Officer & Director: Thanks.
Operator: Our next question is from Doug Leggate of Bank of America Merrill Lynch. Please go ahead.
Doug Leggate - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Thanks. Good morning everybody. On the Middle East folks, the non-core areas that you're talking about, I'm trying to reconcile the $60 breakeven number with exiting some of these non-core areas. And I guess my question is, are these areas currently negative free cash flow, and if so, could you quantify what you think the delta would be in the event of an exit and if that's already assumed in your $60 breakeven assumption?
Stephen I. Chazen - President, Chief Executive Officer & Director: $60 is just a cartoon. This is basically based on our current situation. The businesses are not cash flow positive.
Christopher G. Stavros - Chief Financial Officer & Senior Vice President: Doug, we showed you on the slide that I pointed out, slide 21, that under various oil price scenarios, a higher oil price scenario of last year or lower prices this year, we're still running the combination of those assets are still running a sizable cash deficit after capital. So yeah, you were sort of at higher capital in a higher price environment, but still you weren't generating enough money to really see a free cash flow positive event.
Stephen I. Chazen - President, Chief Executive Officer & Director: So we haven't gone back and recomputed what exactly the breakeven would be. So we don't really know whether it's $55 or $60.
Doug Leggate - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Okay. So maybe I could just slip in a macro question there. Could you update us on what you're doing in Iraq currently? Because obviously your partner, our understanding is the Iraqis are asking folks to slow down investment. So what are you actually seeing on your asset? And I've got a more Oxy-specific follow-up please.
Stephen I. Chazen - President, Chief Executive Officer & Director: Sandy can answer that I think.
Edward A. Lowe - Vice President and President, Oil and Gas International Production: The Iraqis have asked us to slow down investment. And the infrastructure investment that we need to really take advantage of these fields that is the responsibility of the government has not taken place. So the production is just trucking along at a fairly stable amount. But not anything that would excite us.
Doug Leggate - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Okay. Thanks. And my final one if I may is, again I want to go back to this $60 breakeven, Steve, because if you look at this current quarter, obviously you're still burning through a fair amount of cash, and the oil price clearly is not $60. It's substantially below that. Although that's not our base case, what would you do in the event that you have another year of sub-$50 oil because that would imply you basically burn through all your cash at this rate?
Stephen I. Chazen - President, Chief Executive Officer & Director: I don't think we'd burn through all the cash. Maybe we have a different model. But anyway, if you run through all the numbers, I think we'd look at it at the time. But as we cut back on the non-core assets, more cash will be generated. And so you could drill fewer wells in the Permian if that were necessary. We're not counting on -
Doug Leggate - Merrill Lynch, Pierce, Fenner & Smith, Inc.: You'd basically slow things down. Right.
Stephen I. Chazen - President, Chief Executive Officer & Director: Yeah, we would bring the capital down lower. There's more savings as we go and so we're not exactly sure where we are in this process. So I think as we go through this next year, the large, the cracker basically ends at the end of this next year. The spending on that ends. Some of the stuff in the midstream ends at the end of next year. Al Hosn will be, all the capital will be spent. There's a little bit of capital in the beginning of the year for crew quarters as I recall. And so when now all that ends, the capital will naturally decline and the production goes up. So whether it's $60 or $55, we don't really know right now. But we would expect as we go into 2017 clearly that the capital program would be significantly less than – could be significantly less than next year even.
Doug Leggate - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Got it. I'll let someone else jump on. Thanks, everybody.
Stephen I. Chazen - President, Chief Executive Officer & Director: Thank you.
Operator: Our next question is from Phil Gresh of JPMorgan. Please go ahead.
Phil M. Gresh - JPMorgan Securities LLC: Yeah, hey. Good morning. Just first question just on the CapEx side. How would you think about what sustaining capital requirements there are today given all the productivity that you've been seeing in the Permian? And how did that relate to the $60 breakeven for dividend coverage as you move forward? I would assume that that's generally underlying your seeing some improvement there, but any color you could provide would be helpful.
Vicki A. Hollub - Senior Executive Vice President and President, Oxy Oil and Gas: Yeah, Phil, we're continuing to see improvements in the Permian Resources business. And as we've just said and said previously, our Resources businesses are swing business with respect to capital, we can, we have the ability to ramp up and ramp down. But we do see a scenario if oil prices improve a little bit for us to be able to continue to grow Resources and to manage some of the capital spend and in international down so that we could be cash flow neutral and grow Resources slightly in 2016. And part of that's due to the fact that we're continuing to see improvements in our drilling and completion operations. And if you look at kind of the targets that, if you go back and look at our Q1 targets for our drilling and completion activity in Permian Resources, we've actually adjusted our targets a couple of times because our teams keep outperforming and beating our previous targets and setting new best rates. So currently two of the things that we're dealing with in terms of uncertainties is how much better can we get, and also what will prices be. So we're running both of those scenarios and we think we have opportunity to continue to improve.
Phil M. Gresh - JPMorgan Securities LLC: Okay. Follow-up question just on the midstream business. In this lower for longer type of environment, how would you think about the earnings power of that business? I know it's volatile quarter to quarter, but if you think maybe on an annualized basis and you obviously have a couple of different sub-businesses within that. But any thoughts you have there would be helpful.
Stephen I. Chazen - President, Chief Executive Officer & Director: It's a difficult business to estimate. It's hodgepodge of different businesses. It's got a power business. It's got a standard transmission business. It also holds the capacity to ship oil out of the Permian. And right now there's more excess capacity in the basin to ship oil because people assume that oil would, the production would go up and it's clearly not for the industry. So we're paying demand charges essentially for that. And that's what's eating into the profitability. So it's really a difficult number to quantify because you have to really have an idea about these demand charges and what's going to happen with that. It has a probably underlying earning power in the $300 million or so area. But there's a lot of volatility on these demand charges.
Phil M. Gresh - JPMorgan Securities LLC: Sure. And is that $300 million including the benefits we'll get from sulfur at Al Hosn?
Stephen I. Chazen - President, Chief Executive Officer & Director: Probably not. Probably not going to include it.
Phil M. Gresh - JPMorgan Securities LLC: Okay. Last question though for me.
Stephen I. Chazen - President, Chief Executive Officer & Director: Sulfur at Al Hosn is also, is makes predicting oil prices easy. I mean the price of sulfur can move $50 a ton overnight.
Phil M. Gresh - JPMorgan Securities LLC: Sure. Understood. Last question.
Stephen I. Chazen - President, Chief Executive Officer & Director: Especially if there's a lot of tons.
Phil M. Gresh - JPMorgan Securities LLC: On the Middle East you had a significant reduction in the cash operating costs in the third quarter. Any color on the big drivers and the sustainability of that?
Edward A. Lowe - Vice President and President, Oil and Gas International Production: We've had a cost improvement program going for a long time. And we have recently been able to make some breakthroughs on that with various vendors and it's just focusing on it. And same as in the Permian. Everybody in the company's focused on more profit per barrel and less cost per barrel.
Stephen I. Chazen - President, Chief Executive Officer & Director: I think to be – I mean the way the accounting works in the Middle East on a production sharing contract, the company always bears all of the cost, all of the operating costs. So when oil prices are high, you get fewer barrels to cover that operating cost.
Phil M. Gresh - JPMorgan Securities LLC: Sure.
Stephen I. Chazen - President, Chief Executive Officer & Director: And higher, and lower oil prices you've got a lot more barrels to cover the exact same operating cost even if they don't change. So I mean that's -
Edward A. Lowe - Vice President and President, Oil and Gas International Production: It's a combination.
Stephen I. Chazen - President, Chief Executive Officer & Director: Yeah, it's a little different than comparing to the US or something like that because you always have all of the, 100% of the operating costs essentially there. And so whether you produce 10,000 barrels a day or 20 net, operating cost is the same.
Phil M. Gresh - JPMorgan Securities LLC: Right. Okay, all right. Thanks a lot.
Operator: Our next question is from Tim Rezvan of Sterne, Agee CRT. Please go ahead.
Timothy A. Rezvan - CRT Capital Group LLC: Hi. Good morning folks. First question I guess was on the US cash OpEx numbers that you reported in the third quarter, kind of flattish from 2Q. I know that you've had some big improvements early in the year. I guess you've talked qualitatively about bringing that down more, but maybe can you talk about what happened in the third quarter and kind of how we should think about the trajectory of that into 2016?
Vicki A. Hollub - Senior Executive Vice President and President, Oxy Oil and Gas: Yes. We've continued to improve our operating costs and basically we're focusing on the OpEx in Permian Resources and Permian EOR because in Williston we had some high OpEx there just because of the fact that our production was lower. But in the Permian, what we're doing is, we see the biggest opportunities in our Resources business where initially we had difficulty pumping from the deeper unconventional wells. We were trying to use either ESPs or beam pumps. With both of those there were issues because of the depth of those wells and the initial very high volumes that then becomes lower volume pretty quickly in the life of the well. So now we've gotten to a point where we understand that better. We're addressing that better. We're actually ensuring that we installed a lift that's the right kind of lift for the full life cycle of the well so that we don't have high initial repair costs. So that's part of what's driving down our OpEx in the US. In Permian EOR, those guys are continuing to optimize what they do with respect to well maintenance. They have a lot more wells over there. So they've been able to reduce quarter over quarter the cost per barrel in the EOR business by improving the well service rig performance, and improving how they deal with replacement of pumps and things like that, the materials they use and what they're doing there to extend the life of the wells. So we do expect continued improvement in both of those business units.
Stephen I. Chazen - President, Chief Executive Officer & Director: Yeah, I think the short answer is that the Williston operating costs went up and it dragged the average up.
Timothy A. Rezvan - CRT Capital Group LLC: Okay. Okay. I appreciate that comprehensive answer. Next question I guess on the repurchase program. Your average shares outstanding were down 3.3 million. You only spent $50 million in the third quarter. So I guess that's a factor, the timing of your 2Q activities. Should we expect in a $50 or sub-$50 oil environment that you will kind of run at a much lower pace on the repurchases? Or I guess what's your philosophy on that?
Stephen I. Chazen - President, Chief Executive Officer & Director: Well, if I had more confident in the oil price, we'd be more aggressive in the share repurchase. At this point it depends on two things; sort of a calculation of what's in the stock which is favorable to repurchase; and how fearful we are about the volatility in the oil price. So I think the fear overcame the calculation this past quarter. We keep on reading these analyst reports so that generates enormous fear.
Timothy A. Rezvan - CRT Capital Group LLC: I appreciate that commentary.
Stephen I. Chazen - President, Chief Executive Officer & Director: Thank you.
Operator: Our next question is from Edward Westlake of Credit Suisse. Please go ahead.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): You clearly shouldn't read analyst reports.
Stephen I. Chazen - President, Chief Executive Officer & Director: Clearly. I just read the headlines.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): Okay. No worries. Question on the Middle East. I mean you talk about ramping down activities, maybe non-core asset sales. I mean of the countries that you list there, Bahrain looks like one which might have a buyer in the sense of the production as opposed to those other countries. Is that what you're talking about?
Stephen I. Chazen - President, Chief Executive Officer & Director: No.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): Selling assets or just reducing activity?
Stephen I. Chazen - President, Chief Executive Officer & Director: Just reducing activity I think is the way to say it. There's a significant amount of, call them receivables or whatever you want to call it, where we produce the oil and gas but haven't been paid in some of these places. And basically you're effectively building up a liability over time and basically we can't afford to do that currently. And so we'll reduce the activity until we can catch up with that accrual if you will. It doesn't show up on a balance sheet. It's simply the difference between production and liftings.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): And then on Block 9 you said on the last call, we'll look for a contract extension that's as least as good as what we could get back in the Permian. Any progress on how the other side of the table view that?
Stephen I. Chazen - President, Chief Executive Officer & Director: It's a difficult negotiation I think is the best way to describe it.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): And ongoing?
Stephen I. Chazen - President, Chief Executive Officer & Director: And ongoing. I think it will go – it will go on until – all these things go on until there's no more time left.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): And as a reminder, just in terms of now as we get down to end 2015 what the actual drop dead date is or...?
Stephen I. Chazen - President, Chief Executive Officer & Director: It's in December.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): Okay, and then just moving to the midstream, the Ingleside cracker and the export facility for LPG should be fairly profitable in terms of EBITDA and free cash flow when they're on-stream.
Stephen I. Chazen - President, Chief Executive Officer & Director: That's right.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): Just an update as to when you'd sort of -
Stephen I. Chazen - President, Chief Executive Officer & Director: Towards the end of next year.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): Right, okay.
Stephen I. Chazen - President, Chief Executive Officer & Director: Mid – second to third quarter as I recall.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): Okay. Good. So CapEx comes down. Cash flow goes up and that helps balance.
Stephen I. Chazen - President, Chief Executive Officer & Director: Yeah and the same thing, when the cracker is the end of – be done the end of next year and then the cash flow really in 2017. Same sort of dynamic except probably larger.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): Okay. Thanks very much.
Operator: Our next question is from Jason Gammel of Jefferies. Please go ahead.
Jason D. Gammel - Jefferies International Ltd.: Yes. Thanks very much. I was hoping to just get a little more understanding on what led to the write-down on Iraq. Because my understanding was that it was an acceptable place to invest because you never really had a lot of capital exposed. And if you're reducing investment activity even more and you're still lifting oil, does that imply that you got into a situation of a big arrears with the government that you don't think you'll actually ever be able to get paid back?
Stephen I. Chazen - President, Chief Executive Officer & Director: There's clearly – I really don't want to get into a discussion about the contract terms there, except to say that in theory, you got your money back on a small profit pretty much as you spent the money, maybe a quarter or two off. And that really – and that hasn't exactly happened.
Jason D. Gammel - Jefferies International Ltd.: Okay. I think that's a fair enough explanation. I think I get what's going on there. Now, at the risk of picking nits here, the Permian Resource production overall in the quarter, obviously very good, but it did seem to be a little more swung towards NGLs and gas and away from oil than what I would have normally expected. Vicki talked about moving to pad drilling and making it a more manufacturing process which makes it more lumpy. Is that the explanation for that or is there something else going on?
Vicki A. Hollub - Senior Executive Vice President and President, Oxy Oil and Gas: In addition to the pad drilling, we were able to capture some stranded gas in the last quarter and we were able to put that online and through processing and that's what drove some of that.
Jason D. Gammel - Jefferies International Ltd.: So should we still think about this as 5,000 barrels a day of oil growth out of Permian Resources on a move forward basis with recognizing there could be variation from quarter to quarter?
Vicki A. Hollub - Senior Executive Vice President and President, Oxy Oil and Gas: There's going be lumpy production. So it could vary from quarter to quarter, but in terms of the differential with the gas with respect to oil this time, it was again – it was due to a one-time event to get some gas production on that we didn't previously have on.
Stephen I. Chazen - President, Chief Executive Officer & Director: Yeah, as you reduce the capital, have fewer rigs, the effect of this lumpiness is more obvious because you got these rigs working in one place and if you're in five places, well it sort of averages out. But as you reduce the number of rigs at work, the effect of the lumpiness from a quarter to quarter basis is a lot more obvious. So you might expect some more. You'll be able to see it in a normal environment. With a somewhat higher rig count, you wouldn't see it really. It would just smooth out.
Jason D. Gammel - Jefferies International Ltd.: Yeah, okay. That makes sense to me. Okay. Thanks very much, folks.
Stephen I. Chazen - President, Chief Executive Officer & Director: Thanks.
Operator: Our next question is from John Herrlin of Société Générale. Please go ahead.
John P. Herrlin - SG Americas Securities LLC: Yeah, thanks. With respect to the Permian Resources unit, can you describe what you're doing in terms of the well completions that are different, or are you doing anything materially different than your peer group?
Vicki A. Hollub - Senior Executive Vice President and President, Oxy Oil and Gas: On the well completions, we've continued to try to find the exact mix of when to use slick water, when to use hybrid fluid systems and also what the cluster spacing should be, what the volume of the proppant should be. So what we've done is we've experimented a little bit trying to ensure that we get all of that optimized. And some of that we have enough data that we can optimize it and we know what to do. For example in cluster spacing, we can take the pressures that we see during the frac jobs and kind of get to a point where we know what that should be for a given area. So it's still really the proppant size and the fluid volumes and fluid types that we're experimenting with. We did some experimentation with using some of the sleeves and things like that versus plug and perf. And we found that while the sleeves are somewhat effective in being able to isolate and frac, they're not as good when we try to flow the wells back because the sleeves actually cause variations in the flow back which drops out proppant, causes cleanup issues later. So we're moving more toward now ensuring that what we do is we'll have optimum impact on not just recovery but the life of the well. So I think it's just still experimenting with those things that others do. We're waiting for our seismic. We should be done acquiring that in the Barilla Draw area soon, and we'll be processing that. And we hope that will lead to actual more improvements next year.
John P. Herrlin - SG Americas Securities LLC: Great. Thanks. With your EOR operations in the Permian, at current prices how much free cash flow are you generating from that?
Vicki A. Hollub - Senior Executive Vice President and President, Oxy Oil and Gas: At current prices, I can tell you, I can give you what we were generating. We were generating a couple of billion dollars when prices were in the $90 environment.
John P. Herrlin - SG Americas Securities LLC: Okay.
Vicki A. Hollub - Senior Executive Vice President and President, Oxy Oil and Gas: Probably about -
Stephen I. Chazen - President, Chief Executive Officer & Director: About a margin, Chris.
Christopher G. Stavros - Chief Financial Officer & Senior Vice President: Probably cash margins of about $20 a barrel or so.
John P. Herrlin - SG Americas Securities LLC: Okay. That's great. Last one for me. You took a big impairment on gas. Did you really kitchen sink it in terms of pricing?
Stephen I. Chazen - President, Chief Executive Officer & Director: We hope so.
John P. Herrlin - SG Americas Securities LLC: Okay. Thanks, Steve.
Operator: Our next question is from Jeffrey Campbell of Tuohy Brothers. Please go ahead.
Jeffrey L. Campbell - Tuohy Brothers Investment Research, Inc.: Good morning. My first question is a quick macro question. Steve, as you are doing your business in the Middle East, are you seeing any tangible signs of stress or second thoughts regarding OPEC's current production strategy by any of the countries in the region?
Stephen I. Chazen - President, Chief Executive Officer & Director: If they had stress, they wouldn't share it with us. I think that's fair to say. What you do see of course is a lot of talk about raising money and that sort of thing. So if you want to view that as stress, you can. But they all say that they're aligned, whatever that means.
Jeffrey L. Campbell - Tuohy Brothers Investment Research, Inc.: Okay. Thank you. You provided helpful color on non-core asset sales in MENA. As you continue to high grade your portfolio, how do you think about Colombia.
Stephen I. Chazen - President, Chief Executive Officer & Director: Vicki can answer that.
Vicki A. Hollub - Senior Executive Vice President and President, Oxy Oil and Gas: In Colombia, we recently signed an agreement with the government to implement a couple more water floods in Colombia. We see that as our asset there is the opportunity to continue to maintain our production. We'd like at some point to be able to grow the production a little bit. But currently we have a great relationship with the government and with Ecopetrol. We have a team down there that's incredibly efficient and knows the area very well. And our operating teams are very good there. So we see it as a place that, we've been there for over 30 year, would like to continue to be there another 30 years. The country itself has some opportunities outside of what we currently have. And certainly, any opportunity that comes up in Colombia is something we'd want to take a look at.
Jeffrey L. Campbell - Tuohy Brothers Investment Research, Inc.: Okay. Great. And my last question is thinking about Permian capital allocation, with the results that you showed in East Midland, is it possible that capital in the Midland Basin can increase relative to the Delaware in 2016?
Vicki A. Hollub - Senior Executive Vice President and President, Oxy Oil and Gas: Currently, we were thinking that we would move more activity to the Delaware Basin. But you're right. Our Midland Basin team has been performing so well, and especially with this Big Spring area in Howard County, the performance there and in Merchant is getting to the point where those wells are really becoming very competitive with what we're doing in the Delaware.
Jeffrey L. Campbell - Tuohy Brothers Investment Research, Inc.: Okay. Great. Thank you.
Operator: Our next question is from Brian Singer of Goldman Sachs. Please go ahead.
Brian A. Singer - Goldman Sachs & Co.: Thank you. Good morning. Wanted to dig in a little bit on the broader Delaware and Midland Basin well performance to understand whether the strong wells you highlight here on slides 13 and 15 are trending relative to your broader acreage and drilling program and whether they're reflective of what we should expect going forward. I'm not sure if it's apples-to-apples, but if we look at the BOE a day per thousand feet of lateral you have for the 2015 averages, they both, on slides 13 and 15, appear to be below what was reported for the first half in the second quarter presentation. And so what I'm trying to get to is whether the specific wells you're highlighting here with much better rates are reflective of the wells we should expect going forward for specific portions of your acreage, whether they're good averages we should assume for your broader acreage or they're highlights of your best wells.
Vicki A. Hollub - Senior Executive Vice President and President, Oxy Oil and Gas: I think the 2015 average is not exactly representative of what we'll see going forward, but it's indicative of a trend that we'll see. What you're talking about, the trend downward was certainly impacted by the Peck State and the Buzzard State because initially we had incredible rates from the Peck State. It was about 2,400 BOE per day, 24-hour rate for the Peck State. About over 2,000 barrels a day for the Buzzard State. Those wells were two of our best wells in the Delaware Basin. What we're trying to do and the reason we're still, and in answer to John's question, the reason I said we're still trying to tweak things and work things is that we feel like we should have the ability to continue to increase our performance per well. And we're still, we think that with the seismic, we'll be able to figure out what made the Peck State and the Buzzard State so good. And then we'll target trying to hit either the interval that was so good in there or the area, or types of areas like that. And so that's exactly the reason for the seismic is to try to determine whether their reservoir, whether there are areas that are driven by reservoir quality or characteristics that we can move toward in our development program toward the end of 2016. Because by the time we have the seismic processed and evaluated, it would not start impacting the program until the end of next year. But that's exactly what it's designed to do, is look for whether or not those wells were in a particular area that's limited, or whether it's broader and we just aren't getting the chemistry of the frac jobs right or the location within the interval. That's not to say we're not having great wells. We're having great wells, but we do want to continue to improve them. We'd love to see more of those types.
Brian A. Singer - Goldman Sachs & Co.: That's very helpful. And my follow-up is also on slide 13 where you have the nice map of your focus acreage. Can you just refresh us on how many acres that focus area represents and what it would take and any plans to turn some of the other acreage we see there of Oxy's into focus acreage?
Vicki A. Hollub - Senior Executive Vice President and President, Oxy Oil and Gas: Well, we have as you know 1.5 million net acres in the unconventional business and our inventory of wells really, the appraisal wells that we've shown you, that 8,300 well inventory was really based on an appraisal of about half of that. And then our development areas, we're trying to keep at an even lower acreage percentage than that because what we're trying to do is ensure that we completely build out as we build our infrastructure. So probably the Barilla Draw area represents an acreage, at least what we're really concentrating on developing, probably two or three pods that would total up to be about 40,000 or 50,000 in the Delaware Basin.
Brian A. Singer - Goldman Sachs & Co.: Great. Thank you very much.
Operator: Our next question is from Guy Baber of Simmons. Please go ahead.
Guy Allen Baber - Simmons & Company International: Thank you all for fitting me in here. I had a follow-up question on some of the earlier questions around capital spending flexibility into 2016. And I apologize if I missed this earlier, but can you just help us understand the amount of capital spending currently being dedicated to the portion of your MENA program that you deem as non-core? Just trying to understand the opportunity set for the potential spending reductions there that you might be pursuing.
Vicki A. Hollub - Senior Executive Vice President and President, Oxy Oil and Gas: It's $400 million, $400 million.
Stephen I. Chazen - President, Chief Executive Officer & Director: I think it's $400 million.
Guy Allen Baber - Simmons & Company International: Okay. Thanks. And then Al Hosn ramping up faster than expected on the production front. Can you discuss that outperformance? And then also can you address the contributions during the quarter from a cash flow perspective? And really trying to understand the timing of the cash flow contributions there and what the peak cash flow contributions are in this environment. Obviously it's difficult to predict given the sulfur exposure and the less transparency on some of the pricing.
Stephen I. Chazen - President, Chief Executive Officer & Director: Yeah, I think the cash has normal settlement with it. So the production is actually doing pretty much the way it's said. I mean the 60,000 is what we talked about. Cash flow before capital settles like others and so it was a little back end loaded in the third quarter. So there was less of it in the third quarter than we'll see in the fourth quarter. There's some capital that needs to be spent in the fourth quarter and into the first quarter for some things which we'll use some of the money. The business just depends on really oil prices, the volatility in the business. So I think we're talking about $300 million of free cash. And then it could be as much as $1 billion depending on oil prices sort of in the $70s.
Guy Allen Baber - Simmons & Company International: Okay, great. That's helpful, Steve. And then last one for me. You mentioned exiting 2015 with Permian Resources production of around 120,000 barrels a day. So on over $2 billion of CapEx this year, you're obviously growing that business very significantly. Do you have an estimate of the level of spending that could hold that 120,000 flat through next year? Just trying to understand how that compares to the $2 billion plus you're spending this year that's driving considerable growth.
Stephen I. Chazen - President, Chief Executive Officer & Director: We're now discussing among ourselves as to what that number might be. So under $1 billion I think. But we don't know whether it's $700 million or $800 million or $900 million. Because things keep getting better, that's why we're slow in giving you these answers because we just don't know, and we don't want to mislead you.
Guy Allen Baber - Simmons & Company International: Got it, understood. Thanks.
Operator: This concludes the question-and-answer session today. I would like to turn the conference back over to Chris Degner for any closing remarks.
Christopher M. Degner - Senior Director, Investor Relations: Thank you, Emily, and thanks to everyone for participating. Have a great day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.